Aleksey Lakchakov: Aaron Barfoot, CS Disco, Inc.'s Chief Financial Officer, and Richard Crum, CS Disco, Inc.'s Chief Product, Technology, and Strategy Officer. Today's call will include forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, including, but not limited to, statements regarding our financial outlook and future performance; our future capital expenditures; market opportunity; market position; product and go-to-market strategies; growth opportunities; and the benefits of our product offerings and developments in the legal technology industry. In addition to our prepared remarks, our earnings press release, SEC filings, and a replay of today's call can be found on our Investor Relations website at ir.csdisco.com. Forward-looking statements involve known and unknown risks and uncertainties that may cause our actual results, performance, or achievements to be materially different from those expressed or implied by the forward-looking statements. Information on factors that could affect the company's financial results is included in its filings with the SEC from time to time, including the section titled Risk Factors in the company's quarterly report on Form 10-Q for the quarter ended 09/30/2025, filed with the SEC on 11/05/2025, and the company's upcoming annual report on Form 10-K for the year ended 12/31/2025. Forward-looking statements represent our management's beliefs and assumptions only as of the date made. In addition, during today's call, we will discuss non-GAAP financial measures. These non-GAAP financial measures are in addition to and not as substitutes for or superior to measures of financial performance prepared in accordance with GAAP. Reconciliations between GAAP and non-GAAP financial measures and a discussion of the limitations of using non-GAAP measures versus our closest GAAP equivalent are available on our earnings release. And with that, I would like to turn the call over to Eric.
Eric Friedrichsen: Thank you, Aleksey, and good morning, everyone. Thank you for joining us. Right here at the start, I want to welcome aboard Aaron Barfoot as CS Disco, Inc.'s Chief Financial Officer. Many of you saw our announcement in December, and we are thrilled to have Aaron on board. His deep experience in enterprise software and AI-driven business transformation at several industry-leading companies, along with his inspiring leadership approach, is a perfect match for CS Disco, Inc. Aaron has hit the ground running and has already become a great partner on CS Disco, Inc.'s journey to revolutionize the e-discovery industry. Speaking of that journey, I can tell you that I have never been more confident of CS Disco, Inc.'s role as the disruptor and our ability to help our customers drive better outcomes for their clients and their litigation matters. CS Disco, Inc. was built from the ground up on cloud-based, AI-native technology specifically designed for the rigors of high-stakes, complex litigation. Unlike general-purpose AI tools, CS Disco, Inc. is built by lawyers for lawyers across massive volumes of complex and sensitive data with privilege controls, audit trails, and litigation-specific workflows that lawyers can stand behind in court. In order to best understand this, you really need to draw a mental picture of the four layers of our AI-native stack. At the foundation sits CS Disco, Inc.'s proprietary data layer, which is the result of a decade of innovation on data, machine learning, and artificial intelligence, with inference engines that power the industry's fastest and most advanced e-discovery platform. Built on top of that foundation is CS Disco, Inc.'s core e-discovery solution with its integrated workflows that are purpose-built for litigation professionals and trusted across the most complex high-stakes matters in the world. Our third layer brings in generative AI with Cecilia. It answers complex questions in natural language and surfaces key evidence in seconds, connecting complex and nuanced concepts across different types of data to dramatically accelerate evidence finding and document review. This is the layer where we recently announced agentic capabilities such as advanced research. Cecilia allows lawyers to speak to the data like never before possible. At the top of the stack, CS Disco, Inc.'s managed services layer is powered by Auto Review, bringing generative AI to the work traditionally carried out by large human review teams and thus delivering managed service expertise at software scale and economics. The result is a coherent AI-native stack underpinned by the enterprise-grade security, compliance, and auditability that litigators require. Our opportunity to disrupt the industry was a key driver in the strategy we built and began executing after I joined CS Disco, Inc. in 2024. Coming into 2025, CS Disco, Inc. set high goals for progress against our new strategy, and I am very proud of the team's results. In Q4, total revenue grew 11% year over year to $41.2 million, and software revenue grew 14% year over year to $35.1 million. This was the third consecutive quarter of accelerating growth of both total and software revenue excluding the one-time contingent deal we recognized and called out specifically in the previous quarter. We are very pleased to be at the high end of the guidance range in total revenue. Adjusted EBITDA was negative $2.2 million in Q4, representing an adjusted EBITDA margin of negative 5% compared to an adjusted EBITDA margin of negative 12% in Q4 of the prior year. Full-year 2025 total revenue was $156.8 million, up 8% year over year, while software revenue was $134.0 million, up 12% year over year. Full-year 2025 adjusted EBITDA was negative $10.2 million, a margin of negative 7% compared to a margin of negative 13% in 2024. While I continue to be proud of the end results, I am even prouder of how we got there, as it continually reaffirms that our strategy is working as we drive to durable growth and sustainable profitability over time. The main contributors to our performance included overall growth in usage on our platform, increases in large matters, and acceleration of adoption of our generative AI capabilities. In Q4, we set record highs in total terabytes on our platform with accelerated year-over-year growth. We finished the year with double-digit growth in multi-terabyte matters and with revenue growing over 30% from those matters year over year in Q4. We increased customers that generated more than $100,000 in total revenue during the last twelve months to 330. The revenue attributable to these customers totaled $119.0 million in 2025, representing 76% of total revenue. Additionally, we saw significant acceleration in the adoption of our generative AI capabilities, including 41%, attributable to these features. And it is important to point out that when customers choose to use our GenAI capabilities, they are also choosing armies of contract attorneys and paralegals. Our core CS Disco, Inc. platform with Cecilia AI, including our newly announced agent, acts as a senior investigator that lives inside your data. It reasons. It performs multistep operations. It links new concepts. It moves you from the what of the case to the Auto Review, our action of the time. I think it is always good to hear how our customers are specific shows CS Disco, Inc. e-discovery. There are other capabilities where our platform narrowed the review, populated the review in just two days, delivering 98% precision and 97% recall, results that are not only superior to industry-accepted human review standards, but provide the statistical defensibility our clients require for court-mandated productions. To give a sense of the size of impact, in order to hit the same deadline with human reviewers, this would have taken a team of 70 people four weeks to complete. Instead, the client had the information they needed in record time with exceptional quality. This is a powerful example of how our GenAI capabilities augment our core litigation platform and are transforming outcomes for our customers, and why they decide to choose CS Disco, Inc. time and time again for their most important matters. The second example that I want to mention is from one of the preeminent law firms, Osborne Clark. While they were already a fantastic customer when I joined CS Disco, Inc. twenty-two months ago, they were using us primarily for smaller cases. They were very pleased with the CS Disco, Inc. platform, but were unaware of the service that we provide to help under larger and more complex cases. Over the course of this past year, CS Disco, Inc. has continued to build on the partnership with Osborne Clark by providing strong client service, exceptional results, and value for the money. We made sure their enterprise-grade software, leading AI technology, and comprehensive services came through clearly in every interaction. So over the course of 2025, they more than doubled their matters with us. Osborne Clark is an innovation-focused law firm, and they are leveraging their partnership with CS Disco, Inc. to help enable them to deliver better outcomes for their clients. The story of 2025 was AI and Auto Review, platform, and accelerating growth and improving profitability. We started to see the benefit of our new strategy in action. I will now turn it over to Richard Crum, our Chief Product, Technology, and Strategy Officer, for some exciting updates. Thanks, Eric.
Richard Crum: In our daily conversations with customers, including at our recent customer advisory board meeting, it is clear that AI is a powerful catalyst for the legal industry. The real excitement, however, lies in how we apply it. While general-purpose AI tools offer interesting solutions for transactional work, our customers highlighted that they are not sufficient for high-stakes litigation. Let me outline a few key reasons why purpose-built technology for AI for managing complex litigation is so important to our customers. Accountability remains with lawyers, not AI. Our platform is designed to leverage AI in strict privilege control that manages data accessibility and establishes audit trails that law firms require to avoid malpractice risk. When you are dealing with the most sensitive data, corporate exceed long-standing industry precision standards and provide them with the high-quality output they can trust their careers with. Next, we are solving for scale. Many of the recently announced AI point solutions are great at helping lawyers with discrete legal work such as drafting a memo or reviewing an agreement. This is useful to a legal professional, but it is not the same as supporting the legally mandated document review processes we support. CS Disco, Inc. is used to manage multistep, litigation-specific workflows across millions of documents. Litigators are connecting the dots between years of private data, including email, Slack messages, PDF, audio, video, and financial records, to find the evidence and build their case. This is not a simple search problem. It is a massive, multi-format data engineering problem that requires an industrial-grade backbone to ingest, secure, and act on terabytes of data. Further, litigation is a complex, team-oriented workflow. Document review is a process involving many stakeholders, law firm partners, and corporate attorneys. And finally, our AI just works. With our newly announced agent reasoning, Cecilia Q&A, and knowledge tools, which we will be rolling out, we have moved into the next level of legal insight. Cecilia is now an AI assistant that can find the deep connections across all types of evidence to answer why something is happening. The deep research mode for Cecilia can understand a question, create a plan, execute a multistage research flow, verify sources, and deliver cited answers. Again, it works across millions of documents to bring our customers the case insights they have been asking for, like analyzing evidence for inconsistency. We continue to push the boundaries of what our platform can do, both with the core technology that our lawyers require and the AI that makes them better at their craft. It is why our customers trust CS Disco, Inc. to lead the way in bringing innovation to legal tech. Now I want to transition to a new topic. While we have been testing this approach with select customers for the last six months and have received great feedback, we are excited to announce that, going forward, we are combining all of our powerful CS Disco, Inc. e-discovery and Cecilia AI capabilities into a single offering along with updates to our pricing and contracting approach. Let me dive a little bit deeper into these three exciting changes that we are making to how we bring our products to market. First, and I think most excitingly, with our new pricing model, all of Cecilia AI will be included on every matter. This means that incredibly powerful and industry-leading tools like Cecilia Q&A, auto timelines, document insights, and every core AI capability in one solution will be available. Customers get everything they need to manage and win their matters for one competitive price. We are also evolving the way we price the CS Disco, Inc. platform. In addition to now offering all of the great technology I just spoke about for one simple per-gigabyte rate, we are also adopting the industry-standard approach of pricing. The formula will be based on the size of the customer data as it grows over time rather than basing our pricing on the initial data load size, which has often required us to discount our rates to meet competitor pricing levels, reducing both revenue and margin from full potential. The unique approach we have historically used offered clients a level of cost certainty but often also led to some customers wrongly viewing CS Disco, Inc. as more expensive compared to other similar solutions and caused us to lose out on sales opportunity. Finally, we are updating our contracting options to better match the way our customers want to buy CS Disco, Inc. We know there are good reasons why law firms and corporations desire to buy either matter-by-matter or by selecting a solution to standardize on. We also recognize that often the decision process can be influenced by different drivers. To meet the market, we will now offer simple contracting alternatives that make it easier than ever to select and do business with CS Disco, Inc. We have been testing this approach with select customers for the last six months and have received great feedback. Starting today, it is now generally available to everyone, and we are looking forward to discussing this new platform and pricing model with customers at Legal Week in New York in a few weeks. All these changes in new product solutions are driven by a deep understanding of how our customers' businesses are evolving along with the powerful technology we offer. The long-term value derived from these changes will come in three ways. One, this new model will provide CS Disco, Inc. customers with all the tools they need to do their jobs better than ever before and elevate their legal craft and capabilities. We believe that when more customers see the full power and potential of the CS Disco, Inc. platform, there will be a natural acceleration in usage of both our core capabilities and AI. Second, meeting the market with more simplified and industry-standard pricing, we expect to see an increase in win rates with less discounting pressure. At full implementation, we expect that this will provide a revenue and gross margin lift for CS Disco, Inc. over the long term. Third, by presenting customers with smart buying options, we make it easier to buy from CS Disco, Inc. and reward our most loyal customers who make spend commitments with our best rates on technology and services. We will grow our percentage of committed for a competitive price in a smart commercial model. These pricing model changes, coupled with our leap forward in product capabilities, are part of our core strategy to grow wallet share with our largest customers and attract the largest and most strategic matters to our platform. And with that, let me turn things over to Aaron.
Aaron Barfoot: Thank you, Richard. First and foremost, I am very excited to be here with the team at CS Disco, Inc. as we revolutionize e-discovery litigation and accelerate CS Disco, Inc.'s momentum. In my first month, I have been diving deep into the company, operations, and vision. So far, everything I have seen reaffirms my thesis for joining CS Disco, Inc., which is that the company has industry-leading technology and has the capacity to transform a historically services-oriented space into an AI-enabled software workflow. Capabilities such as Cecilia and Auto Review are central to that thesis. Eric has built a strong leadership team that balances domain-specific expertise with technical know-how. I believe that with the right operational execution and financial discipline, CS Disco, Inc. has the potential to accelerate growth, produce robust free cash flow, and generate attractive returns to our shareholders. With that, I would like to discuss our results. In Q4 2025, total revenue was $41.2 million, up 11% year over year. Software revenue was $35.1 million, up 14% year over year. This was the third consecutive quarter of accelerating revenue growth, excluding the impact of one-time contingent software revenue recognized in Q3. Services revenue was $6.0 million, down 3% year over year, driven by a reduction in traditional review. Full-year 2025 total revenue was $157.0 million, up 8% year over year. Software revenue was $134.0 million, up 12% year over year. Services revenue was $22.8 million, down 8% year over year. The decline was attributed to a decline in our traditional review business. However, we are excited as Auto Review had strong growth in the first year of sales and partially offset the decline. We are pleased to see Auto Review show nice adoption this year. What is even more positive is we are seeing repeat usage. The Auto Review process involves the customer and our AI team developing a review prompt for Auto Review to execute across millions of documents. This motion results in services revenue in addition to the software revenue. As customers begin to move to the prompt process without CS Disco, Inc. support, more of this revenue will be purely software. Our traditional review product is still all in services. We exceeded the top end of the guidance provided for the quarter across both software and total revenue. Looking back to the initial full-year guidance we provided in February 2025, we beat the high end of software revenue and came in near the high end of total revenue in that initial 2025 guide. We accelerated the growth of our software business for the third year in a row, from 3% in 2023 to 7% in 2024, and now 12% in 2025. We saw accelerating growth in the transaction gigabytes and revenue on our platform, especially the gigabytes of complex multi-terabyte matters. These require an enterprise-caliber approach to the sale, navigating complex objections, providing value to the customer through software, and leveraging our services team to ensure success for the customer. These factors combined to increase our software dollar-based net retention to over 103%. Total dollar-based net retention finished the year at 98%. We finished the year with 20 customers contributing more than $1.0 million in revenue, while our multiproduct attach rate was 19% at year end, including our AI. Unless otherwise stated, our references to gross margin, operating expenses, and net loss are on a non-GAAP basis. Adjusted EBITDA is also a non-GAAP financial measure. Our gross margin in Q4 was 77%. Gross margin for fiscal year 2025 was 76% compared to 75% in fiscal year 2024. As we mentioned before, our gross margin can fluctuate from period to period based on the nature of our customers' usage, for example, the amount and types of data ingested and managed on our platform. Sales and marketing expense for Q4 was $13.9 million, or 34% of revenue, compared to 37% of revenue in Q4 of the prior year. For fiscal year 2025, sales and marketing expense was $54.4 million, or 35% of revenue, compared to 39% of revenue for fiscal year 2024, a decrease of over $2.3 million year over year. The decline was primarily driven by a decrease in personnel costs and a reduction in marketing spend. Research and development expense for Q4 was $13.0 million, or 31% of revenue, compared to 32% of revenue in Q4 of the prior year. For fiscal year 2025, research and development expenses were $48.4 million, or 31% of revenue, compared to 30% of revenue in fiscal year 2024, an increase of over $4.5 million year over year. This increase was primarily driven by an increase in research and development personnel spend as we continue to invest and innovate in our product capabilities. General and administrative expenses in Q4 were $7.9 million, or 19% of revenue, compared to 20% of revenue in Q4 of the prior year. For fiscal year 2025, general and administrative expenses were $31.3 million, or 20% of revenue, compared to 22% of revenue in fiscal year 2024. Adjusted EBITDA was negative $2.2 million in Q4, representing an adjusted EBITDA margin of negative 5% compared to an adjusted EBITDA margin of negative 12% in Q4 of the prior year. Adjusted EBITDA in fiscal year 2025 was negative $10.2 million, a margin of negative 7% compared to a margin of negative 13% in 2024. Net loss in Q4 was $2.5 million, or negative 6% of revenue, compared to a net loss of $4.3 million, or negative 12% of revenue in Q4 of the prior year. Net loss in fiscal year 2025 was $10.7 million, or negative 7% of revenue, compared to a net loss of $17.2 million, or negative 12% of revenue in 2024. Net loss per share for fiscal year 2025 was $0.17 per share compared to $0.29 per share for fiscal year 2024. Turning to the balance sheet and cash flow statement, we ended Q4 with $114.6 million in cash, cash equivalents, and short-term investments and no debt. Operating cash flow in fiscal year 2025 was negative $14.9 million compared to negative $8.7 million in fiscal year 2024. Now turning to the outlook, for Q1 2026, we are providing total revenue guidance in the range of $39.0 million to $41.5 million and software revenue guidance in the range of $33.75 million to $35.25 million. We expect adjusted EBITDA to be in the range of negative $6.0 million to negative $4.0 million. The decrease in Q1 2026 adjusted EBITDA relative to Q4 is primarily driven by increased employee costs and one-time expenses related to sales kickoff, marketing campaigns, and professional services. We believe we will be on track to achieve adjusted EBITDA breakeven by 2026 as our revenue grows and as one-time costs in the first half do not reoccur. For fiscal year 2026, we anticipate total revenue guidance in the range of $167.0 million to $177.0 million and software revenue guidance in the range of $145.5 million to $152.5 million. We expect adjusted EBITDA to be in the range of negative $8.5 million to negative $4.5 million. The story of the coming year will be continued growth acceleration, driving us toward adjusted EBITDA breakeven by 2026. Now I would like to turn the call over to the operator to open up the line for Q&A. Operator?
Operator: Press star then the number one on your telephone keypad. Your first question comes from Scott Berg with Needham and Company.
Scott Berg: Hi, everyone. Nice quarter. Two questions for me. Eric, I wanted to start off with the pricing and packaging changes. Why now? You have been there obviously twenty-two months. Why not maybe a year ago, with what you have seen? And then how does that impact maybe existing customers in their current contracts? And I just do you expect it to, I assume, positively impact deal cycles going forward, but any thoughts on deals that are processed? Is there any opportunity to disrupt or maybe accelerate those deals? Thanks.
Eric Friedrichsen: For sure, Scott. Thanks for the props on the quarter too. It was a great quarter, and I am super proud of the team. I am going to let Richard here expound in a second, but in terms of the packaging and our pricing approach, look, we just saw an opportunity driven really by the demand from our customers, and so I will let Richard talk a little bit more about how we worked through that process.
Richard Crum: Yeah. Thanks, Eric. And you are right. The impetus for the model changes that we talked about and that we are bringing to market starts with listening to our customers who tell us they want to use CS Disco, Inc. more, and they want to use it on larger matters, but that they face or faced some friction in selling it into some of the partner teams and corporate teams because of the uniqueness of the way in which we had previously priced. And so we took that feedback, and you couple it with the vision that we have for CS Disco, Inc., and that is what landed us on this new approach. As I said in my prepared remarks, we have been out testing this. We have been running this through with customers and signing deals based on this new model, and the feedback has been great. They are really excited about the inclusion of all of our tools and all of our AI into the core offering, and we are excited that it is going to reduce the friction to getting our customers access to that great technology on more matters. Making it easier to buy means they are going to have the tools, and it is great for CS Disco, Inc. We do expect it will improve our win rates, help us win those larger matters that we have been growing with many of our customers, which ultimately leads to an improved sales efficiency and a higher lifetime value of matters, because as we have talked about in previous calls, those larger matters last on the platform a lot longer. So we are real optimistic about the impact this new model is going to have on CS Disco, Inc.'s performance.
Scott Berg: Understood. Thank you. And then from a follow-up question, Eric, you mentioned that under twenty-two months now, the company has accelerated its revenue growth rate for two straight years. I would say very positive on the especially on the software revenue line item. But as you have seen the business evolve with what you are looking at, whether it is product changes or the pricing packaging changes, how do you think about the intermediate-term growth rate of the company now? What does that look like to you? Is it at a rate higher than where you are today? Is it lower? Help us understand maybe some of the industry dynamics and how you triangulate to what is the right kind of stable growth rate as you proceed forward. Thanks.
Eric Friedrichsen: Yeah. I appreciate it, Scott. Look, I have been really proud of the team and the fact that we went from, you know, 3% growth to 7% growth to 12% growth over the last three years. And I said before that I believe that CS Disco, Inc. can be a 20% plus grower, and I am actually more optimistic than ever. I actually think we have 20% in our sights. I am not calling out a specific quarter or a time frame that we are going to hit that, but we clearly have 20% in our sights, and I believe we can grow much faster than that. So just getting to 20% plus growth, if you just look at the strategy that we are driving towards with our larger customers, with larger matters, and with more adoption of our generative AI capabilities, those things alone can help us get to 20% plus growth. As I mentioned in the past, you look at many of our largest customers, they are spending more than $100,000 with us, and in some cases, more than $1.0 million with us. In many of those cases, we might only have 15% or 20% of their wallet share. So doubling down in that particular strategy and driving forward is, I believe, a path to easily get us to 20% plus growth. However, I think there is actually a lot more upside from there. Scott, if you think about the adoption of generative AI, if you think about this space, particularly when it comes to the review piece of our space and the fact that it is a multibillion-dollar market that is being done by armies of human resources today, contract attorneys, we have got the ability to leverage our Auto Review capabilities on top of our core platform to turn much of that into AI-driven software revenue instead of services revenue. And that is an incredible win for CS Disco, Inc., obviously, but also for the end customers, for the corporate clients, who now will have the opportunity to bring the e-discovery or the review process in e-discovery much sooner in the litigation life cycle, which can help them improve outcomes, increase their revenue streams to what has been traditionally done by these armies of contract attorneys, and it will help CS Disco, Inc. along the way. So I am actually optimistic beyond even this 20% plus growth profile.
Scott Berg: Understood. Nice quarter. Thanks for taking my questions.
Eric Friedrichsen: Thanks, Scott.
Operator: Your next question comes from David E. Hynes with Canaccord.
David E. Hynes: Good morning, guys. Nice quarter. Nice to see the software acceleration continue, and I appreciate all the commentary on the call. Eric, maybe we could tackle kind of the elephant in the room. I mean, you did a good job talking about kind of the moats that CS Disco, Inc. has, kind of less directly hit on competition from the foundational model companies. Obviously, there is lots of noise in the market around those folks targeting legal tech as an attractive area for automation. Are you seeing those LLMs show up in your customers at all? Are they exploring with that technology? Can you talk about which areas of the tech stack are most at risk of disruption, which are not, and how you think that impacts CS Disco, Inc. over the next two or three years?
Eric Friedrichsen: Sure, DJ. Sorry, I heard some feedback. So, you know, yeah, I did notice there was some disruption in the stock market recently, for sure, no question about it. But look, I have had the good fortune of spending time with our customers on a regular basis. Two weeks ago, I was in the UK, in London and Manchester. Three weeks ago, I was in Austin with our customer advisory board members, and I have not heard of a single customer utilizing general AI or these frontier models for the e-discovery process. And frankly, I would have been shocked had I heard about it. You know, look, it is a very different space. And I think it goes back to, I look at it this way: you have to look at the industry that we are in specifically, you have to look at the competitive advantages that we have, and then you have to look at the way we are innovating. The industry that we are in is squarely focused on litigation and e-discovery, and it is just a very different space than areas like contracts or M&A or transactional areas where these general AI and frontier AI companies are really focused. And when it comes to litigation, you know, you either you win or you lose, and e-discovery is at the heart of all of that. It is complex. It is court-mandated. It is a legal process where the adversaries in a matter have to agree upon the methodology that they are using for e-discovery. So they are dealing with extremely sensitive data that gets highly processed before it even comes into our platform or as part of coming into our platform, and it is really not valuable outside the context of the integrated workflow. And then on top of that, ultimately, lawyers cannot make mistakes when it comes to litigation. It could cause a malpractice lawsuit, or even worse yet, it could cause a crushing outcome for their firm's clients. So we are just in a very different segment of legal. Think of us as AI for litigators. That would be the first thing. And then the first competitive advantage is, look, CS Disco, Inc., as I mentioned before, has been AI-native since our inception, long, long before these frontier models came out. We were the first to embrace GenAI in e-discovery when we put Cecilia out three years ago, and we have ultimately built a very powerful, scalable, integrated platform, as I detailed earlier, that deals with the largest and most complex matters and with processed volumes of data that are well beyond what other solutions can handle. So, you know, I guess the way to think about it that way is that when it comes to technology for e-discovery, that is really where CS Disco, Inc. is the answer. And then I think you also have to think about the innovation. And CS Disco, Inc. is never sitting still. We have always been about innovation. Our entire history has been about improving the way litigation works. And as I mentioned earlier, if you think back to that story about one of our customers that in two days did what 70 contractors could do in four weeks, that is just a game-changing opportunity that can create a win-win-win for the corporate end client, for the law firm, and for CS Disco, Inc. along the way. So I think we are in a better position than we have ever been, DJ.
David E. Hynes: Very helpful. Aaron, maybe a follow-up for you. You are obviously pretty fresh in the seat, but you are also a fresh set of eyes on the model and only the second CFO since the IPO. I am curious of your impressions of the visibility that the usage-based model provides, and given this is your first call, maybe you could talk a little bit about how that informs your guidance philosophy.
Aaron Barfoot: Sure. When you think about the visibility the usage model gives us, I think there are elements that—and I have seen this; this is not my first experience with the usage model, so I have had the privilege of kind of working with usage models in the past—but I think when you look at it, the larger the scale, the more predictable it becomes. You have to pick up the trends that occur within the model, and so I think as our business continues to scale, we pick up more and more predictability in the usage model. There are still parts of the revenue model, when you look at services and Auto Review as it stands today, where there is an element to that where it is less predictable. But once again, I think with scale, you gain the advantage of predictability—the law of large numbers type of math. And so I think, going into our guidance philosophy, when you think about that part of it, we obviously provide it as a range for that reason. We know that our customers are voting with their wallets every time they choose to use CS Disco, Inc., and I think that explains a lot of why we do provide the range. And if we look at Q1, a range in software from 9% to 14%, then it is relatively wide for that reason. But I think as time goes on, it allows us to get more and more precise.
Operator: Your next question comes from Mark Schappel with Loop Capital Markets.
Mark Schappel: Hi, thank you for taking my question. Nice job on the quarter. Eric, I just want to build on the earlier question about the new commercial model. I was wondering if you could just maybe discuss the origins a little bit more and maybe what potential downsides or trade-offs you foresee with the shift?
Eric Friedrichsen: Yeah. Thanks, Mark. Look, as Richard mentioned earlier, this really originated from our customers. If you think about it, our focus with our strategy on winning more wallet share within our biggest-to-best customers and getting large matters from their biggest-to-best customers—we have got great relationships with our champions at these customers. And sometimes, they have struggled to explain our pricing model to the various case teams within their firms. And so while we might be getting, you know, a nice $100,000 or $1.0 million worth of revenue from some of these customers, we might only have 15% or 20% of their wallet. And our champions want to do more with CS Disco, Inc. They want to make sure that they can explain our pricing model. Sometimes we have seemed more expensive than our competition when we are really not. And so we have had to try to teach our champions how to explain our pricing model to customers, and you know, you could do that so long, and you realize maybe there is an easier way to just simplify the model. I also think there have been a number of cases where we have had to discount more than I would like to discount because our model was not as understandable. And so now, with this new model, it is much more clear, much more understandable, and we think that gives us a chance to really proliferate along our strategy of getting larger matters and more wallet share within our largest customers.
Mark Schappel: Okay. Thank you. And then as a follow-up, the start of the year is typically when software companies adjust for sales organizations and their go-to-market strategies. Eighteen months, twenty-four months or so back, you made a significant change to the sales org. I was wondering if you could talk about any meaningful changes to the sales org as we start the year here.
Eric Friedrichsen: Yeah. Thanks, Mark. You know, the strategy that we execute upon with our go-to-market shift has worked really, really well, and it started with ensuring that we are bringing in the right leaders, the right talent, the right reps. It was a matter of, as you know, we made some shifts last year moving from less executives to more outside salespeople, so more from inside sales to more sales, as we are focusing on larger customers and larger matters. So we did not add cost to sales and marketing last year, but we did shift the way we spent that money, and it has paid off. Also, the comp plan that we put in place to really incentivize sales reps for new matters and new revenue has worked out really well for us. The systems and processes that we put in place, the contract simplification—so a lot of the things that we have already put into place are starting to work. And so the main thing that we are doing is just doubling down and executing on that. Now, as I mentioned, we did not add a lot of cost to sales and marketing in 2025 because we needed to go through that process of sort of reorganizing and reaccelerating revenue. I think there is an opportunity this year potentially to bring in some additional talent to take advantage of the opportunity that we see ahead.
Mark Schappel: Okay. Thank you.
Eric Friedrichsen: You bet.
Operator: There are no further questions at this time. I will now turn the call back over to CS Disco, Inc.'s CEO, Eric Friedrichsen, for any closing remarks.
Eric Friedrichsen: Yes. Thank you very much. Look, to wrap up, our performance in 2025 was remarkable. It gave me extreme confidence that our strategy focused on expanding our wallet share with existing customers, focusing on large and strategic matters, and accelerating our GenAI adoption of Cecilia and Auto Review are the right strategy. That focusing on our customers and with you in every case, combined with the innovation that we are delivering, has really put CS Disco, Inc. on the right path. So we are going to do a lot of the same things that we did in 2025 in 2026. We are going to take advantage of the momentum that we started to gain. We are going to layer on top of that the new agentic AI capabilities that we just announced and our new pricing and platform approach. And so, look, it has been three years now where you have been able to see the acceleration—I should say two years on top of 2023 where you have been able to see the acceleration. I think it is a very large market within e-discovery and litigation that CS Disco, Inc. is in a prime position to go disrupt, and I am really excited. I think it is going to be a great year. So I look forward to updating you as we progress throughout 2026, and I really appreciate you all joining. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.